Operator: Thank you for standing by. At this time, I would like to welcome everyone to today's Six Flags Entertainment Corporation Second Quarter 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator instructions] Thank you. I would now like to turn the call over to Six Flags management. Management, please go ahead.
Michael Russell: Thanks, Craig, and good morning, everyone. My name is Michael Russell, Corporate Director of Investor Relations for Six Flags. Welcome to today's earnings call to review our 2024 second quarter pre-merger financial results for our legacy companies, the former Cedar Fair, L.P. and the former Six Flags Entertainment Corporation. Earlier this morning, we distributed via wire service our earnings press release, a copy of which is also available under the news tab of our new Investor Relations website at investors.sixflags.com. Specific to Cedar Fair, our prior year reported quarter ended June 25th, 2023 to provide investors with more informative comparisons due to the fiscal calendar shift, our release this morning offers an alternate set of results comparing Cedar Fair's current year quarter ended June 30th, 2024, with results for the three months ended July 2nd, 2023. Before we begin, I need to remind you that comments made during this call will include forward-looking statements within the meaning of the federal securities laws. These statements may involve risks and uncertainties that could cause actual results to differ from those described in such statements. For a more detailed discussion of these risks, you may refer to the company's filings with the SEC. In compliance with the SEC's Regulation FD, this webcast is being made available to the media and the general public as well as analysts and investors. Because the webcast is open to all constituents and prior notification has been widely and unselectively disseminated, all content on this call will be considered fully disclosed. On the call with me this morning are Six Flag's Chief Executive Officer, Richard Zimmerman; and Chief Financial Officer, Brian Witherow. With that, I'll now turn the call over to Brian.
Brian Witherow: Thank you, Michael. Good morning, and thanks to everyone for joining us today. We're excited to welcome you to the very first earnings call for the new Six Flags Entertainment Corporation. In actuality, it's the final earnings call for our legacy companies, Cedar Fair and the former Six Flags as we begin our journey together as a merged company. I'll start my review by discussing the legacy Cedar Fair second quarter results before providing some color around second quarter results for legacy Six Flags. I'll wrap up with an update on more recent performance in the state of the long-lead indicators for the combined portfolio. Before I dig into the details, I'd like to say how pleased we are to reporting record setting second quarter performance for legacy Cedar Fair, a quarter in which thanks to our top-line revenue growth and effective cost-savings measures, we achieved record adjusted EBITDA for the period and meaningful margin expansion. The strong second quarter performance capped off a trailing 12-month period that saw us produce $585 million of adjusted EBITDA, ending Cedar Fair's legacy on a high note and setting a great foundation for our new journey together as the new Six Flags. As Michael mentioned at the beginning of the call, due to a fiscal calendar shift in the current year, Cedar Fair's second quarter of 2024 included 53 net incremental operating days compared to the second quarter last year. Because of the impact of the fiscal calendar shift, I'll focus my comments this morning on comparing Cedar Fair's second quarter with the three months ended July 2nd, 2023. For the quarter, Cedar Fair generated a record $572 million in net revenues on record attendance of 8.6 million guests. This compares with net revenues of $557 million and attendance of 8.3 million guests for the comparable three month period last year. In addition to the 368,000 visit increase in attendance, the higher net revenues during the period reflect a $4 million increase in out-of-park revenues to a second quarter record $73 million. The increases in attendance and out-of-park revenues were partially offset by a 3% decrease in in-park per capita spending. The increase in attendance was the direct result of several factors, including a larger season pass base, the continued recovery of the group channel, including our school and youth business, which has now recovered back to pre-pandemic levels, and lastly, stronger general demand in the markets where we introduced impactful new rides and attractions for the 2024 season. We are particularly pleased that we were able to drive increased attendance over 33 fewer operating days than the comparable period last year, reflecting the positive impact of many of the initiatives we've put in place in the last year to drive demand. On a comparable week basis, average attendance per operating day in the second quarter was up 9%, primarily the result of eliminating smaller attendance days during the period at several seasonal parks as well as increased demand from the season pass channel. The increase in out-of-park revenues reflects the improved performance of the Knott's Hotel, which was under renovation at this time last year as well as higher ADRs at the other resort properties across the system. Meanwhile, the decrease in per capita spending is due to a planned reduction in season pass pricing at several parks and a higher mix of season pass visitation, somewhat offset by improved guest spending on food and beverage and extra-charge products. Food and beverage spending during the quarter was up 3% versus the comparable three month period last year. The improved F&B spending was driven by an increase in average transactions per guest and an increase in the average transaction value, reflecting the guest willingness to buy up for higher quality offerings. Guest spending on extra-charge products during the period was up 1%, driven in large part by increased Fast Lane sales, which benefited from the broad rollout of our new single ride Fast Lane product and overall stronger demand as a result of higher attendance levels. Moving to the cost front, legacy Cedar Fair's operating costs and expenses in the second quarter totaled $387 million, up $15 million compared with three months ended July 2nd, 2023. The period-over-period increase reflects a $23 million increase in SG&A expense, offset by a $9 million decrease in operating expenses. The increase in SG&A expense included $11 million of merger-related costs and $8 million of higher equity-based compensation expense. The balance of the increase was attributable to higher spending on technology initiatives and advertising during the period. The decrease in same-week operating expenses, which was accomplished while our parks entertained 368,000 more guests during the period is the result of planned reductions in entertainment expenses and labor costs, including the use of fewer seasonal labor hours and lower full-time headcount. Adjusted EBITDA for the quarter increased to a record $205 million, while adjusted EBITDA margin for the period improved to nearly 36%, up 230 basis points versus the comparable three-month period last year. The higher-margin reflects the value and leverage that comes with driving higher levels of demand while tightly managing operating costs. As we've noted on prior earnings calls, we remain laser-focused on improving margins by increasing demand and driving operating efficiencies across the portfolio, particularly around variable operating costs such as seasonal labor. Through the first six months of the year, we've reduced our seasonal labor hours by 5% or more than 340,000 total hours, while not eroding the guest experience or our ability to drive demand as evidenced by the meaningful lift in attendance. Through these key initiatives, we've made considerable progress strengthening margins closer to pre-pandemic levels. We have now improved legacy Cedar Fair adjusted EBITDA margin by 300 basis points through the first six months of the year compared with the same six-month period in 2023. Now turning to second quarter results for legacy Six Flags. As noted in this morning's earnings release, Six Flags second quarter of 2024 included 58 fewer operating days compared to the second quarter last year. For the quarter, Six Flags generated $438 million in total revenues on attendance of 6.9 million guests. This compares with total revenues of $444 million and attendance of 7.1 million guests during the second quarter of 2023. In addition to the 2% decrease in attendance, the decline in total revenues in the quarter reflects a $9 million decrease in revenue from memberships beyond the initial 12-month commitment period, what we call 13 Plus. The decrease in second quarter attendance and membership revenues was partially offset by a 1% increase in total guest spending per capita. The decrease in second quarter attendance was largely the result of the strategic decision to remove operating days at certain parks and the earlier Easter holiday, which occurred in the first quarter of 2024 compared to the second quarter of 2023. We estimate that the Easter timing shift represented a headwind of approximately 90,000 visits in the second quarter, while the elimination of operating days accounted for the majority of the remaining attendance difference. The increase in total guest spending per capita during the quarter reflects an admissions revenue per capita decrease of 2% and an in-park spending per capita increase of 5%. Excluding the impact of membership revenue from both periods, which we believe better reflects the park's higher average ticket pricing and in-park monetization efforts, total guest spending per capita for the quarter would be 3% higher than prior year second quarter, reflecting an increase in admissions revenue per capita of less than 1% and an increase in in-park spending per capita of 6%. We expect revenue headwinds from memberships to be negligible in the second half of the year. Moving to the cost front, legacy Six Flags operating costs and expenses in the second quarter totaled $281 million, down $18 million compared to the second quarter of 2023. The decrease in operating costs and expenses was the result of a $12 million increase in operating expenses, offset by a $30 million decrease in SG&A expense. The decrease in SG&A expense reflects the impact of a $38 million self-insurance reserve adjustment made in the second quarter last year, offset slightly by higher spending on advertising in the second quarter this year. The increase in operating costs was driven by increased seasonal labor costs resulting from higher average seasonal wage rates and an increase in seasonal labor hours. Through the first six months of the year, the average seasonal wage rate at legacy Six Flags Parks was up 3% over the same period last year and seasonal labor per hours were up 3% or approximately 150,000 hours. Six Flags adjusted EBITDA for the quarter decreased $23 million to $138 million driven primarily by the decline in attendance, lower membership revenue and higher operating expenses, offset in part by higher total guest spending per capita. Due to the increase in operating costs and lower total revenues, legacy Six Flags modified EBITDA margin for the second quarter, which excludes the impact of non-controlling interest in partnership parks decreased to 36.9% from 41.6% in the second quarter last year. Taking a closer look at more recent results and the long-lead business indicators for a moment. During the month of July, difficult weather conditions, including the impacts of Hurricane Beryl and record heat and rain across much of North America have impacted demand at several parts in the combined portfolio. Over the five-week period ended August 4th, 2024, attendance across the combined portfolio totaled 10.9 million visits, down 3% or approximately 350,000 visits compared to the same five-week period last year. A meaningful portion of this attendance decline can be attributed to four parks where operations were either partially or entirely disrupted by macro events, including a utility disruption at Michigan's Adventure, excessive flooding at Valleyfair and the effects of Hurricane Beryl on our Galveston and Houston water parks. Excluding these four parks, attendance within the balance of the combined portfolio was down 1% or approximately 150,000 visits during the fiscal month of July. Meanwhile, when compared to the same five-week period last year, July guest spending trends were essentially flat year-over-year across the combined portfolio. Despite the pressure from attendance mix on admission spending, in-park guest spending in July continued to benefit from higher levels of demand for food and beverage and premium experience products. Despite recent demand disruptions in certain markets caused by weather events, we remain encouraged by the overall attendance trends as we approach the end of the summer. This validates the strength we saw earlier this year in our long-lead indicators, including strong season past unit sales and solid booking trends within our group sales channel and our resort properties. As of June 30th, 2024, the legacy Cedar Fair season pass base totaled 3 million units, a 9% increase versus the prior year second quarter, while the Six Flags active pass base comprised 4.3 million pass holders, a 6% decrease versus the prior year, which still included the Six Flags discontinued annual pass product. Excluding discontinued annual passes, the balance of the Six Flags active pass base at the end of the second quarter would have been higher than the prior year second quarter by 5%. Driven in large part by the solid momentum in the season pass programs, legacy Cedar Fair deferred revenues as of June 30th, 2024 totaled $282 million, up 3% compared to the same time last year, while deferred revenues at legacy Six Flags totaled $191 million, an increase of 8% versus the prior year. On the capital allocation front, during the quarter, legacy Cedar Fair spent $61 million on CapEx, bringing total investment through the first half of the year to $118 million. For the full year 2024, we expect capital investments in the legacy Cedar Fair parks will be $200 million to $220 million. Meanwhile, during the second quarter, legacy Six Flags spent $77 million on CapEx, bringing total investment over the first six months of the year to $114 million. We expect full-year CapEx spend in the legacy Six Flags Parks will also be in the $200 million to $220 million range. As we are in the early days of our Combined Company, we are still conducting the analysis for our long-term CapEx outlook. With that said, we are very encouraged by what we see in terms of both our Combined Company's existing infrastructure as well as the opportunities to drive growth in the combined portfolio. While there will be some level of CapEx necessary to address deferred infrastructure needs within the portfolio, the majority of our investments will be on initiatives and new attractions that can achieve a minimum ROI and that are meant to increase demand, drive higher levels of guest spending and make us a more profitable business over the long-term. We plan to provide more details around the scale and scope of future capital programs by spring of next year. Lastly, for cash flow modeling purposes, on a go-forward basis, we are projecting annualized cash interest payments of $300 million to $310 million and annualized cash tax payments of $140 million to $150 million before further tax planning efforts. With that, I'd like to turn the call over to Richard.
Richard Zimmerman: Thanks, Brian. First, let me congratulate our collective team for a job well done to complete our transformational merger. This achievement wouldn't have been possible without the support of both legacy Boards and our leadership teams as well as our associates' commitment to embracing positive change and building upon the rich heritage of our two companies. I want to personally thank Celine for his partnership throughout this process. We share a strong belief in the full potential and value creation that this merger represents and we are excited for the future ahead. That value creation includes the continued growth and margin expansion within the legacy Cedar Fair portfolio, the opportunity to improve legacy Six Flags performance through attendance and revenue growth and the realization of the meaningful synergies available to us through the merger. Because today represents our first opportunity in many months to address the market broadly about the merger, I think it's worthwhile revisiting why we are so excited to have brought together two of the most iconic players in the amusement park industry. First off, the deal's equity structure. The merger between these two companies presented a unique opportunity to offer legacy Cedar Fair unitholders and legacy Six Flags shareholders with a tax-efficient means to each participate in the significant value-creation available as a Combined Company with even more growth opportunities. Second, the benefits of scale. The new Six Flags has a highly-diversified footprint with geographic scale never before seen regional amusement park industry. This helps mitigate weather-related and seasonal earnings volatility, ensuring that no single park contributes more than 17% of park-level adjusted EBITDA and no single region contributes more than 30%. While only a small sample size, we saw the value of a more geographically diverse portfolio playout during the month of July. When weather was very challenging in several key markets, yet combined attendance was down only 1% at our parks that weren't forced to close due to disrupted operations. The expanded scale also provides a larger portfolio of properties to efficiently allocate capital and pursue more high-ROI initiatives for growth, including innovative new attractions and high-quality high-throughput dining facilities, just to name two. Additionally, our larger geographic footprint sets us up with an opportunity to offer season pass holders with access to an expanded portfolio, enhancing our strength and appeal versus other entertainment options. Broader access to our family of parks has the potential to not only boost guest loyalty, but also drive higher season pass sales and park visitation. Third, the operational efficiencies created by consolidation. Combining organizations gives us a unique opportunity to select the best strategies and practices from both companies, making us smarter and more efficient overall. We can centralize many of our core administrative functions and deploy shared services to reduce redundancies and improve efficiencies that drive operational savings. To that end, where we aren't at risk of disrupting operations or the guest experience, we've already begun to eliminate duplicative cost and services and renegotiate third-party contracts where appropriate. While there is much more work to be done, some of which we'll have to wait until after the season, we fully expect to capture our stated cost synergy goal over the next 12 to 18 months. Fourth, combining resources enhances our financial strength and flexibility. We believe that using our proven playbook to significantly increase attendance across a larger customer base, particularly in underperforming markets, will allow us to drive a consistent long-term growth in revenue and free cash flow. Higher levels of free cash flow generation will provide flexibility in our capital allocation and investment decisions and enable us to improve our capital structure. Finally, and perhaps most importantly is the unique opportunity to refresh and renew the guest experience, unifying both companies intellectual and practical know-how obtained over decades of market leadership presents the new Six Flags with an opportunity to create an experience so compelling that our guests will view our parks as an indispensable choice in entertainment. We are tapping the skills and imagination of a deeper talent pool to develop a richer guest experience seeking to position our parks as essential destinations for out-of-home family fun. Since completing the merger less than six weeks ago, we have made considerable progress with our integration efforts as we work to realize the full potential of the merger and deliver value to our shareholders and customers. Our integration team is working diligently to fully analyze and evaluate both legacy companies data to gain a thorough understanding of our combined portfolio, including guest perceptions, market potential and the competitive landscape. The conclusions we draw from this comprehensive review of our collective strengths and opportunities for improvement will be the basis for establishing the company's long-range plan to offer the guests the best possible experience and generate profitable, sustainable growth. As we proceed through the early innings of this work, our operational focus will be on quickly capturing the synergies available to us and implementing the parts of our playbook that will have an immediate beneficial impact. Case in point, we recently announced two park-level changes. First, like a number of legacy Cedar Fair parks, we implemented a chaperone policy at selected Six Flags Parks to ensure we maintain a family-friendly environment while increasing the deal with parents who are the decision-makers and who have the deeper share of wallet. And second, we removed the surcharge on in-park purchases at all legacy Six Flags Parks, which was very unpopular with our guests. We believe the incremental revenue lost in the near term will be more than offset by an increase in transactions and higher levels of guest spending over the long-term. Over time, we will make additional changes to the business that will be based on consumer research and our decades of experience and success in the industry. Our time-tested approach to the business remains grounded in the basic principle of creating fun and memorable experiences for our guests. A high-quality experience drives long-term success and makes everything else we do as a business easier to accomplish. Getting there, however, requires a steadfast cultural commitment to the long-term success of the business. I'm confident we have the perfect leadership team to strike a balance between creating long-term fiscal stability and generating sustainable, profitable returns for our shareholders. Our consolidated team recognizes the extraordinary opportunity in front of us to achieve something remarkable, a prospect that is fueled excitement and dedication for perpetuating the legendary status of our expanded family of parks. The merger's most attractive and important growth opportunity, however, is returning legacy Six Flags Parks to their historical levels of attendance. With the data now available to us, we have focused our initial efforts on three key performance indicators, all of which are currently trending at roughly half that of legacy Cedar Fair. They include season pass renewal rates, season pass average visitation rates and market penetration rates. Closing the gap on season pass renewal rates and average visitation rates alone would add more than 10 million visits annually at the legacy Six Flags Parks, implying a return to pre-pandemic attendance levels is very achievable over time and something we will be laser-focused on achieving. At the same time, we remain committed to improving renewal rates and driving higher levels of season pass visitation at the legacy Cedar Fair Parks as we work to also increase the penetration rates at those parks. Our initial assessment is that many of the near-term improvements needed to drive higher demand levels are largely OpEx versus CapEx related, achieved by refining pricing, increasing marketing and adjusting programming strategies, including park operating calendars. We will, however, also invest what is necessary in new rides and attractions to reenergize demand and achieve our attendance growth objectives as the upside in doing so is significant. Promoting a better guest experience and improving guest satisfaction ratings at the legacy Six Flags Parks is crucial. Ensuring rides are available to guests from open to close can be accomplished cost-effectively through better utilization of seasonal labor hours by deploying enhanced workforce management systems and methodologies. We also believe there is a tremendous opportunity in upgrading the food and beverage offerings at the legacy Six Flags Parks. Taking a page from legacy Cedar Fair's playbook that is driving our successful food and beverage expansion, we can drive higher per capita spending and cost-efficient growth by adding high-throughput commercial kitchens, efficiently designed air-conditioned food locations and expanded menu choices with higher-quality food options. Over the long haul, we have seen the strength and resilience of our business model not only carry us through varying economic cycles, but also push results beyond expectations when market conditions are strong. Even in the depths of the financial crisis of 2009, our parks displayed the resiliency that comes with being the closer to home, less expensive and less complicated choice for out-of-home entertainment. During that period, capita spending was only down 1%. And while attendance was briefly disrupted at a number of our properties, two parks in the portfolio introduced major new coasters and delivered record years in 2009, despite the economic headwinds. In all instances, our business approach has remained consistent, comprised of the following eight core principles. One, guest satisfaction is vital to our long-term success. Two, strategically invest marketable capital into the business drives growth and ensures the long-term sustainability of our business even in challenging economic periods. Three, we are a volume-driven business where strong attendance drives longer length of stay, higher per caps and better pricing power. Keeping our parks comfortably crowded is a must. Four, the season pass programs have always been and will continue to be the financial engine of our business and provide us with a recurring and reliable revenue stream. Five, guests today view the availability of unique, high-quality food and beverage as an essential and increasingly valuable part of the guest experience. Six, safety, park cleanliness, attractive landscaping and family entertainment are essential core elements that resonate with mom and dad who maintain share of wallet and represent our primary target. Seven, we staff our parks to operate fully yet efficiently without sacrificing excellent customer service. And finally leveraging the power of scalable technologies today is fundamental to enhancing the guest experience. These core principles form the foundation that has helped produce Cedar Fair's long-tenured steady performance and record results over the past 12 months. They will also form the business foundation from which the new Six Flags will grow over the long-term. We are confident we have the right team and strategies to implement these core principles across our entire portfolio of properties as we drive compelling value for all our stakeholders. Some of our parks have already announced the start of their 2025 season pass sales program with many more to follow in the next few weeks. We believe that compelling introductory pricing and targeted advertising campaigns will drive strong early cycle demand. You will also be hearing news about our exciting line-up of new rides and attractions being added for 2025, which promises to contribute to another outstanding season. We are as confident as ever in the potential of our Combined Company, strengthened by the ongoing encouragement and enthusiasm shared by our investors and business partners. We are extremely optimistic about the opportunities ahead and as always, remain committed to dreaming big, planning smart and executing with precision. Finally, over the next six months, we will be continuing our integration work and filling out our new long-range plan. By spring of next year, we expect to be in better position to share more details around the strategic initiatives and investments that will drive the future growth of the business, deliver the full value creation for our shareholders as soon as possible. Craig, that concludes our prepared remarks. Please open the calls for questions.
Operator: Great. Thank you. [Operator instructions] It looks like our first question today comes from the line of Lizzie Dove with Goldman Sachs. Lizzie, please go ahead.
Lizzie Dove: Hi, there. Thanks so much for taking my question. I guess you're just over a month in to kind of looking at these like new Six Flags assets. And the consumer environment is maybe in a little bit of a different shape than it was when you kind of put out the presentation last year. What are the key kind of learnings that you've had since being there? We've seen you've already made some changes. And has anything changed about that kind of initial targets, I suppose, especially on the revenue side given that we've seen a little bit of pressure to the consumer?
Richard Zimmerman: Lizzie, great question. Thanks for being with us today. First, let me address the health of the consumer and what we see out there. I think our performance during the second quarter and over the first half of the year underscores that our business remains healthy. The strong first half performance reinforces the value proposition of our parks and really does underscore, as I said in my prepared remarks, our confidence in the resiliency of the business. You know, at the closer to home, less expensive and less complicated offer, we really are an outstanding option for entertainment. So as we think about the now combined portfolio, I continue to go back to what we tried to highlight in our prepared remarks, which is the most significant opportunity we have is the ability to drive attendance and revenue growth throughout the whole portfolio. And as we saw recovering from the pandemic, that was our priority. And we knew that if we could drive enough top-line growth in the most efficient disciplined manner, which I think our trailing 12-month shows we accomplished that still more to be done, that there's a way to sustainably drive performance over an extended period of time. Brian, anything you want to add?
Brian Witherow: Yeah. I would just say, in terms of your question about how things have changed, Lizzie, from when we had the presentation that announced the merger. I think it's still fair to say that, those strategies, those projections still represent a reasonable way to think about the long-term potential and progression for the combined business. And we're just excited to get the deal closed and start on that path forward.
Lizzie Dove: Got it. That's helpful. One follow-up if I can. So, obviously, there's kind of been lots of puts and takes for per caps across these two kind of legacy businesses. You have the California reset at the legacy Cedar Parks, the 13 Plus impact of 6%. I think you did say that in-park has been up in July. Just curious like where all of those puts and takes kind of net you out as you look into the second half of the year and next year in terms of that outlook for per caps?
Brian Witherow: Yeah, Lizzie, we're not going to give specific guidance around where we're modeling for the second half of the year. But what I can say is we remain confident that over time, we can continue to grow per caps as we've demonstrated. But as Richard noted, our primary near-term focus is on driving revenue growth. So as we think about the balance of '24 rolling into '25, we came into this year on the Cedar Fair legacy side with a focus on revenue growth that was going to come largely from expanded demand, growth in demand in attendance, which can at times be at odds with per caps, but it's critical to the long-term success of the business, as Richard said. So I think what we're most encouraged by is the continued strength we're seeing in in-park spending in areas like food and beverage and premium experiences or extra charged products that are often influenced by those higher attendance levels and we see no reason why to expect that to stop in the future.
Lizzie Dove: Great. Thanks so much. Congrats.
Richard Zimmerman: Thanks, Lizzie.
Operator: Thank you, Lizzie. And our next question comes from the line of James Hardiman from Citi. James, please go ahead.
James Hardiman: Hey, good morning, guys and congrats on getting this deal done and in the rear view mirror and good luck with that going forward. So I have two questions. I have a sort of a math question. Hopefully it doesn't get too hairy with Brian and then sort of an operational question for Richard. I guess first on the financials, the math, you went out of your way to talk through the like-for-like adjustments for the legacy Cedar Fair Parks, right, 53 more operating days. But you didn't really adjust the Six Flags or at least at the EBITDA level. And so I think what people are doing is they're scaling back the EBITDA growth for legacy Cedar Fair, right, I think EBITDA was up like-for-like maybe $18 million, but then leaving the Six Flags unchanged. So down, call it, I think you pointed out down $23 million. And so we're arriving at sort of a year-over-year EBITDA decline for the combined business. I guess, should we be making any adjustments for the legacy Six Parks and if not sort of is that EBITDA decline how we should be thinking about 3Q and beyond?
Brian Witherow: Yeah. So at a high level, James, I think there was a very purposeful reason for the adjustment at the legacy Cedar side because of the change in the fiscal calendar from Q2 of '24 versus Q2 of '23, right, ending on June 30th this year versus June 25th of last year leads to a little bit of a comparability issue. So that was the driver behind that adjustment and why we spoke to what we believe to be the more, the fair three-month comparison, which was July 2nd of last year. On the legacy Six side, there was no fiscal calendar shift. So I think the three-month comparisons year-over-year are fair. As we think about pushing those two together, those are the legacy results for the two standalone companies. As Richard alluded to in his prepared remarks, we are certainly focused on now harmonizing a lot of stuff across the portfolio as we build-out a long-range plan for the future. I don't know that a lot of that is going to have significant impact on the balance of '24. You know, we're really running the standalone playbooks for both companies out with a little bit of tweaking on both sides of the fence. But we're really more focused on '25 and beyond at this point. So I'm not sure if that helps answer your question or not.
James Hardiman: It does. And I guess that sort of leads me to more of an operational question. I guess it sounds like the trajectory at Cedar Fair legacy parks is a lot better than the trajectory at Six. Why is that the case? And I guess, Richard, I thought one of the more interesting parts of your prepared remarks where it was the idea that you thought attendance could and should go back to pre-pandemic levels for the legacy Six Parks. Obviously, the previous management team, their sort of marquee move was to scale back attendance purposely. I think 20% down versus pre-pandemic was sort of their goal. It was worse than that for a while. But maybe walk us through the thought process there, why that's the right move and any timetable around getting there?
Richard Zimmerman: James, great question. Let me level up and say that over the -- when I look at our combined portfolio, I'm probably more excited about the opportunity to drive market penetration to drive attendance and revenue growth than I was, as we went through the process and I was excited then. What I see is as I look back over a much longer stretch of time, go back pre-pandemic, go back through the 2010s is two companies that had slightly different strategies. As Brian would always say, we were both hunting the same thing, just slightly different strategies. I think when I look at what we've been able to do to cultivate that core business, core guest in each of our regional markets. And we are regional and understanding the difference between regions is going to be critically important. But we were able to take season passes from under $1 million to a record of $3.2 million drive considerable market penetration. And more importantly, cultivate what you've always heard me talk about, a lifetime customer where we become part of the fabric of what families and friends do over an extended course of the calendar, certainly during the summer. But as we're going to see as you come into Halloween and the appeal of Halloween events, we'll do great attendance throughout the whole portfolio because it's driven by such a sense of urgency. I think when I look back over that those two decades, one of the things that really resonates to me, we really tried to hone in, James, on our prepared remarks is so much of its driven by the season pass program. We believe in a consistent approach training the markets to react in certain ways, in certain timeframes. And I think the challenge as I look throughout the portfolio sometimes when you shift too much, too quickly, the market then reacts differently and you've got to retrain them. I was really pleased at given that we closed this deal on July 1st that we were able to find a way to roll-out the All Park Passport, which we will be doing over the course of the two weeks throughout the portfolio because I think it represents an answer to your question, which is, as I look forward, I try and take the learnings of the past, but I really want to make sure that we prioritize our efforts on what will drive the best -- the biggest impact while sowing the seeds for the longer-term things that will also drive that sustainable lasting impact. So long-winded way of answering your question, but James, I got to tell you, we are, as I've gotten to see the portfolio, these are really the similar businesses operating in different regions. And I think there's no reason overtime that we can't drive that market penetration these types of levels. So looking back gives us an opportunity to evaluate. We've got the opportunity, as I said in my prepared remarks to take the best practices and the approaches from both, find a new path, which really merges them together, but all of them still have the same priority in terms of what are the levers in the business and what will drive that.
James Hardiman: That's really helpful. Thanks, guys.
Richard Zimmerman: Thanks, James.
Operator: Yes. Thank you, James. And our next question comes from the line of Steve Wieczynski with Stifel. Steve, please go ahead.
Steve Wieczynski: Hey, guys, good morning. So Richard and Brian, I have two higher-level questions about the Combined Company. And I'm going to take another crack at kind of the loss, getting the lost attendance back in a little bit of a different way. So bear with me. But obviously the legacy Six Flags, the parks are being operated much differently versus the way you guys are running your legacy Cedar Fair assets. And Richard you noted some of this in your prepared remarks about how you're going to try and get some of that lost attendance back. But I'm wondering how we should think about the impact on the attendance per caps, maybe a little bit more specifically over the next year or so as you try and get that lost attendance back. I guess the simple question is, do you feel like you're going to have to materially adjust pricing on the lower side in order to get that lost attendance back?
Richard Zimmerman: You know, it's a great question, Steve. I really think when I listen to your question, anytime I think about pricing, I think about the value proposition. You hear me talk about price-value all the time. We firmly believe in dynamic pricing, but I think what we've got to do is take the steps as we have taken already to make sure that the guests in each of our particular regions see the value in what we offer. The opportunity to program all four parts of the season, for instance, as we've done so successfully and highlight that drives the value of the season pass. So on the attendance level, the more we can put value into the guest experience and enhance the experience, the more we can lean into pricing over time. There's two things that drive attendance. One is that guest satisfaction. The good news is even in the last five weeks, we've been able to see increased guest satisfaction ratings in the legacy Six Flags Parks. So I'm really pleased way the teams jointly have worked together, how we've come together in the field and at the park level, high compliments to everybody for the persistence, the dedication and the passion that I'm seeing in really focusing on the guest experience to try and improve it. I think over time, we've shown an ability to drive both attendance, but also per cap growth, as Brian said. So I think from my perspective, I do think this ability to recapture the attendance by continuing to focus on that improvement in the guest experience. Brian?
Brian Witherow: Yeah, Steve, in terms of the admissions per cap or I guess the -- that focus on recovering attendance, that lost attendance. As I said in response to Lizzie's question, when the revenue growth is being driven by step function growth in attendance, that is at odds with per caps overall. So we would expect some admissions per cap pressure, much like we've seen this year on the legacy Cedar results, right? We talked about that 3% decrease in the second quarter and a lot of that coming from some pricing decisions we made in a couple of markets, but more importantly, the mix of attendance, right? A lot of the growth that we would anticipate and as Richard laid out in his comments, would come from the season pass channel, recovery of group. Those are two lower admissions per cap channels for attendance. But again, at a much higher attendance and revenue base. So we'll live with the mathematical pressure on admissions per cap. I think it gives us opportunity on the in-park side of things. One of the things that we've seen over the years and gets back to Richard's comment in the prepared remarks about the park staying comfortably crowded. The larger attendance days lead to the longest length of stays for visits. That leads to the highest per caps and the best margin days. So it's important to get that demand back. I think it will help on the in-park spend, maybe a little bit of mathematical pressure on the admissions per cap, but again, that's going to be at a much higher attendance and revenue base.
Steve Wieczynski: Okay. That's really, really good color. And then second question is around the combined portfolio of assets now. So Richard I guess the question is, are 42 parks the right number? And what I'm getting at is, do you think there's an opportunity to whether it's sell, shutdown certain parks that might not be essentially core or are under-earning on the EBITDA side in order to drive leverage down at a quicker pace? It just seems like some of that land optionality might outweigh the EBITDA potential at some of your parks. And I hope that all kind of makes sense.
Richard Zimmerman: Yeah. No, listen, from a strategic standpoint, I understand your capital allocation question. We're going through the extended period now, and I'll take you back, Steve. The extensive antitrust review process meant, we were limited in terms of the information that we share between the companies. We're going through in a pretty comprehensive overview, as I said to create our long-range plan and our long-term outlook. I think every property has got opportunities. We understand the challenges. We've got lease parks, we've got partnership parks, we've got fully-owned parks. We believe in strongly in making sure that we look at the potential of each site. And the good news is even within both portfolios, there are some really strong performers regardless of size, some of the most consistent performance and significant -- the sustainable performance, not necessarily growth, but performance is that some of the smaller and the mid-tier parks. So I do think there's an opportunity to stratify the portfolio and make sure that we're looking at the high-growth opportunities. But I do believe every park that we now own and that we now operate has a place in the portfolio if we properly define its role within the portfolio. Brian?
Brian Witherow: Yeah. I think the only thing I would add, Steve, is I think you can look back at the approach that standalone or legacy Cedar Fair has taken on that front, we've acquired a lot of assets over the years and we've also divested of assets that we over time deem no longer core in the portfolio. I think it's as Richard said, it's still very early. I mean, we only closed on this deal a little over a month ago. And so right now, we're drinking from the firehose as we work through that longer-term strategic plan. But certainly portfolio optimization will be part of that exercise over time.
Steve Wieczynski: Okay, great. Thanks guys. Really appreciate it.
Brian Witherow: Thanks, Steve.
Operator: Thank you, Steve. And our next question comes from the line of Thomas Yeh with Morgan Stanley. Thomas, please go ahead.
Thomas Yeh: Thanks so much. I was hoping to dissect the July pacings a bit more. It sounds like even with that down 1% in July, if you kind of exclude the closures, it doesn't fully strip out the weather headwinds. So maybe beyond the weather you cited, have you seen any evidence of the shift in value proposition you mentioned relative to maybe some consumer weakness at the low-end and how that -- how has that shaped out to-date? And as a follow-up to that, I think, Brian, I think you had mentioned before the hope to return to 2019 attendance levels at legacy Cedar. I know there's a little bit of a weird 2Q calendar timing shift, but is that still on track or are you hoping to exceed that at this point?
Brian Witherow: Yeah. Thomas. So maybe I'll take the latter first. I think what I would remind everyone is that the second half of the year, and this is a comment that applies to both sides of the portfolio would represent close to two-thirds of the attendance and revenues for the combined portfolio. And so it's great to have the results that we've seen through the first-half of 2024, but the second half of the year is critical in terms of where things land. July, as Richard noted and as we said in our prepared remarks, has been a little bit bumpy, you know, being down 3%. There's no doubt we've dealt with some extreme weather conditions in some market. But the whole idea behind this one of the core drivers behind this merger was to create a more diversified footprint. And so we're not going to use weather as an excuse. Was it a challenge in some markets? Sure, record heat in a number of markets is problematic. The four parks we called out, I think those were very anomalistic events where the parks were shut down for length of period of time, either because of the hurricane that hit the Gulf or utility disruption up in Michigan as an example. I think broadly speaking, we still remain encouraged by the broader trends that we've been seeing around attendance. Demand is there when weather is good, we're seeing strong demand. There are always going to be short periods where we see those macro trends or those macro headwinds impact demand trends a little bit. And then it plays out like last year, we saw something similar, right? July was a little bit challenging because of the heat and rain in a number of markets. And then we turn to August and turn turned the page and August took off like gangbusters and on the legacy Cedar side led to a record second half performance. So we're still encouraged by the broader, as I said, the broader trends, the deferred revenue balances indicate that there is a lot of pent-up demand. There are a lot of tickets in the market, whether those be season passes or single-day tickets. And so we think we're still well-positioned over the second half of the year, but we'll have to see how everything plays out.
Richard Zimmerman: Thomas, one more thing for me to jump in here, it's Richard. You know, it is one of the unique windows we have into the health of the consumer is our resort and portfolio. And I will tell you in the month of July, we've had some outstanding days where we were sold out at many of our Cedar Fair hotels at increasingly higher ADRs than we've seen last year. So in terms of our look and certainly throughout our portfolio, we serve all income classes and stratas through our resort portfolio because we've got a wide array of hospitality and resorts for people to stay at. I will tell you, I've been really encouraged and pleased with the resort in our out-of-park performance over the month of July.
Thomas Yeh: Great. Thanks. And then just beyond evaluating the pricing strategy. Richard, you mentioned some OpEx tweaks, including maybe leaning more deeply into marketing. Can you elaborate a little bit more on where you see maybe the most clear areas of underinvestment at legacy Six? And where you think you'd be able to generate a lot of more opportunity from low-hanging fruit, is it staffing levels or maintenance or anything more specific that would be helpful. Thank you.
Richard Zimmerman: Let me take your advertising question first. And this goes for the Combined Company, both sides of the portfolio. Coming out of the pandemic, we all skinned up advertising. There was a lot of pent-up demand. We knew that would be there. But we also, like a lot of companies, other industries, really narrowed our approach to highly digital when percentage of ad spend went highly digital, which is great because it's very targeted, but you also give up a little bit of breadth. What we've seen is as we play with the mix, get to a little bit better rounded portfolio of media channels. We've seen an ability to get different, to get more traction. And the other thing that we've noticed over the last couple of years is, as we look at the impact of advertising, more and more of that impact in terms of generating awareness of our parks and generating performance is extended out over better over longer periods. So what we're trying to do is make sure we've got the right mix of channels, but also the right pulsing so that we maintain those awareness and improve those awareness levels as we go through. So I think that's our challenge on that front. In terms of the overall parks and what we're doing and I would again look at the Cedar portfolio as much as the Six Flags portfolio. We're trying to make sure we're as efficient as possible while driving a lot of attendance, a lot of revenue growth. And we've got a weekly performance meeting where we go through transactions per hour. We go through all the metrics that we watch to make sure we're being really efficient with our dollars, ridership, rides per guest, all the things that ladder up into that guest satisfaction. So what we're trying to do is make sure that we are very disciplined in our approach, that we listen to the consumer, that we really take a look at what's different region-by-region, but start to lay in place the things we think can drive guest satisfaction. We've made sure that all the rides are open on both sides of the portfolio because sometimes these are mechanical. All rides are mechanical and sometimes they have challenges. But as we made sure that we are riding more riders as we make sure we've got all the rides open, we've seen a statistically significant increase in guest satisfaction and that's what's important.
Thomas Yeh: Appreciate the color. Thank you.
Operator: Thanks, Thomas. And our next question comes from the line of Matthew Boss with JPMorgan. Matthew, please go ahead.
Matthew Boss: Great. Thanks . So maybe first for Richard, on the like-for-like attendance trends during the second quarter and then the softening in July that you cited, I guess, any changes in the pricing or larger picture promotional landscape that you're seeing? And then just how best to think about your back-half demand assumptions? Have you made any internal changes just based on more recent consumer behavior?
Richard Zimmerman: I'll take a stab at that and then I'll let Brian weigh in. Again, caveat, we don't give financial guidance. But as I look at the business and what we're seeing, I think, each legacy company had a plan coming in. I think when you look at the demand levels per channel, I think relatively both companies were coming in within range of expectations of the plans they put in place. So it wasn't significant shifts for certainly demand tickets. We break it down into season passes, group channels and demand tickets. So not significant changes up or down in terms of the level of pricing within that demand channel. Really saw significant growth in the group channel with the recovery of [indiscernible] which we thought would take almost three years after the pandemic and it did. The encouraging part is the strength in the group and school and youth channel. A little bit of comeback in corporate as well. So I don't want to underplay corporate. We've also seen come back in that. But really the lion's share when we think about what's happening and Brian referenced it, season pass has such a dominant impact on our attendance mix. A lot of times, it's less about the price and more about the attendance mix and how much you can drive season pass. Season pass, if you drive enough on a higher percentage of penetration and a higher attendance mix is going to put pressure on your admission per cap, but it's the most expensive single ticket we sell and we want to sell as many of them as possible. And then we want them to visit lots. Brian?
Brian Witherow: Yeah. Just I think, Matt, what I would add, as we think about both sides of the combined portfolio looking at this year versus last year. I don't know that there's anything that was a demonstrative pivot or change. And we've talked over the last couple of quarters on the legacy Cedar side about changes that we made around season pass pricing in a few select markets that was the result of some analysis and consumer research that we did in '23, late '23 coming into '24. But when it comes to promotions and I'll tie it to maybe take it as a level higher, dynamic pricing of single-day tickets, our business intelligence teams have always been in the practice of dialing up pricing on single-day tickets and dialing down price just based on the demand trends. And so I wouldn't say that that's new. That's certainly something that is a practice that we've gotten really good at. And so as we look at the balance of this year and what's ahead, when there are headwinds like weather in a market, no matter what you do with price, it really has a hard time resonating because the reason they're not visiting isn't price related. It's more the macro weather conditions. But as we think about the fall ahead and the demand, the strong demand that we've seen around things like Halloween Haunt on the legacy Cedar side or Fright Fest on the legacy Six side. I think there's going to be opportunities to again continue to lean-in demand. The only thing that I would add on the season pass, unfortunately, closing this deal on July 1st, only maybe six-weeks or so, four to six weeks before we were going on sale with a lot of season passes or season pass programs at the parks didn't give us a lot of time to fully harmonize the pass programs across the combined portfolio. We've made some -- we've taken some steps and made some strides in moving in that direction. But I think over time, you're going to see those programs get a lot more harmonized and a lot more opportunity. But we're going to have to only move a little bit forward on that as it relates to '25 just because of the late timing of the close of the merger.
Matthew Boss: Great. And then maybe just a follow-up, Brian. Could you help quantify or just ballpark maybe the organic operating expense structure? Just anything to help get our arms around the magnitude of some of the upfront investments that you cited to improve the park offerings, increase attractions and the higher marketing?
Brian Witherow: Well, I think, as we said in the prepared remarks, both and Richard alluded to this just a few moments ago, both companies have increased their advertising spend midyear this year relative to what we thought coming into the year. And again, the last thing you want to do is have new attractions, new initiatives, new entertainment at your parks and not be in-market with enough advertising to support. So I think we're trying to find the right the level of advertising. As it relates to some of the other things that we've alluded to, we're not all the way there yet on being ready to commit to where CapEx is going to land going forward. I think what we said on the call, between the two sides of the portfolio, for the '24 season, we're going to be spending between $400 million to $440 million. The number was a little bit closer to $0.5 billion that was in the proxy. I think there's still some more work to be done, as I said in my prepared remarks on the call around determining what's the right landing spot for CapEx going forward. And then in terms of OpEx, we are going to invest in some more -- add some OpEx to the system. You know, quite frankly, on both sides of the portfolio, I think it's fair to say as we think about building out the season pass program and look to drive higher levels of demand. On the Six side, there's a compelling reason to add operating days back into the system. So that's something that we're still working through. Those changes, incremental operating days aren't going to happen overnight, but rather will be phased in along with other initiatives and capital programs. And we certainly would expect that there would be attendance and revenue growth that comes along with that.
Matthew Boss: Great. Best of luck.
Brian Witherow: Thank you.
Richard Zimmerman: Thanks.
Operator: Great. Thanks, Matthew. And our next question comes from the line of Michael Swartz with Truist Securities. Michael, please go ahead.
Michael Swartz: Yeah, hey, good morning, guys. I know that you -- it's pretty early in the season pass sales process with some of your parks, but I think you had mentioned that a handful you've already rolled out 25 season pass programs. Can you give us a sense of maybe where pricing is coming in relative to the year prior? I know it's a limited sample size, but any color that you can provide would be great.
Brian Witherow: Yeah, it is, Mike. It's Brian. It is very early and it's really on the Cedar side, well, on the combined portfolio, quite frankly, it's maybe only four or five parks that are in-market. I would say, out the shoot, there's no parks in the system are seeing the kind of reduction in pricing that we felt was necessary last year on the legacy Cedar side. I also think it's fair to say, given the economic headwinds that as I look back on the legacy Cedar side and there was a period of time there from right outside the pandemic where we were pushing pricing really aggressively, I think, high single-digit, low double-digit increases, I think that's probably not a realistic expectation. But I do think it's fair to believe that something in the low single-digits is achievable as we look ahead to '25, but there's still, we have to get more parks into market before we begin to see how that's all playing out. A lot of times, Mike, it comes down to the mix of pass products. Are people buying prestige? Are they buying gold? Are they buying regular? So that's often what drives it as well as which parks are selling right? Not all passes are priced the same. And so when some of our higher-priced parks are leading the charge in terms of volume, that can play into it as well.
Richard Zimmerman: Mike, one more thing. As Brian said, we're very early in the process. So I'll give you an early snapshot though. As you know, last year, we reformatted and offered the All Park Passport across the Cedar portfolio where we have been on sale with the All Park Passport, which is right now only Cedar Parks about to go on sale with the Six Flags Parks as well. We're up in penetration in every market that we're offering that product. So I'm really encouraged that the guest is paying attention and they see great value in the All Park Passport.
Michael Swartz: Okay. That's helpful. Maybe sticking on a similar thread just in terms of visitation frequency, I know prior to the pandemic, there were about four to five visits a year on average per season pass. Maybe give us a sense of where that's trending now at the legacy Cedar Fair Parks. And I believe you said that it's about 50% of that level for legacy Six. Just trying to get a better handle of maybe what the opportunity is there longer term.
Brian Witherow: Yeah, Mike, the average visitation on the Cedar side still sits a little north of four visits. As Richard mentioned, that number might have been closer to five or a little north of five back when we were only selling a couple of million passes a year. But as you grow that pass base, that's pushed that average down to closer to four times or a little north of four times per pass, but still holding strong. We haven't seen that really move since we established this new base. And I think when you compare it to, as we said in the prepared remarks, the legacy Six Parks, there's a lot of opportunity there. They'd be closer to two times on the average visitation. And I think when you start applying those incremental visits another turn or two turns to that pass base, that active pass base in the Six portfolio, it gets pretty compelling pretty quickly.
Michael Swartz: That's helpful. Just a real quick housekeeping question. With regards to the July, the five-week commentary that you provided, does that reflect the fact that there were two fewer weekend operating days versus the year-ago period?
Richard Zimmerman: No. So the way when we're talking about that five-week period, it's not a calendar July, it's a fiscal July. And so it starts on a Monday and ends on a Sunday. So July 1st through August 4th. And so we should be capturing comparable in numbers of weekend days based on it being a fiscal five-week period.
Michael Swartz: Okay, great. Thank you.
Brian Witherow: No problem.
Operator: All right. Thanks, Mike. And our next question comes from the line of Ben Chaiken with Mizuho. Ben, please go ahead.
Ben Chaiken: Hey, good morning. Thanks for taking my questions. Flow through in the quarter was 77%, which is really impressive on a reported basis. I think you also provided some comparable results, which suggested you converted $14 million of revenue into $18 million of EBITDA. If that's correct, would you agree this is the operating day reduction compressing revenue over less cost? And then at legacy front, can you -- at legacy Cedar Fair, can you continue this elevated high flow through or is there something unique to flag comparability or otherwise? Thanks.
Brian Witherow: Hey, Ben, it's Brian. No, it's a great insight. I think a big part of that flow through is being driven by a more efficient operating calendar. As we said, to drive attendance you know north or north of 360,000 more visits on 33 less operating days on a comparable three-month to three-month period is a big part of that. Not the entirety, because there's also costs that the teams have done a very good job of getting cost out of the system even on apples-to-apples operating day comparisons. We're running more efficiently on seasonal labor. Sand, the days that we've taken out, even on days that we are open, we're being more efficient with ours. We're being more efficient in full-time headcount. So I think what you're seeing play out, at some point, it will normalize that I'm not going to promise that we're going to do more north of 100% flow through every quarter. But I think it does speak to as we've said all along, the path towards better margin, long-term margin expansion isn't just cost, it's demand. And getting those higher attendance levels is a big part of it.
Ben Chaiken: Got you. That's very helpful. And then just to level set. Are you still considering reducing operating days at legacy Cedar Fair by 112 for the full year? And I guess if it directionally is in that range, I guess I ask because that would suggest that 3Q high level would be down around 10% on an operating day basis, at least directionally, which obviously would have an impact on attendance. I just want to ask you that and flag that. Thanks.
Brian Witherow: Yeah. So the outlook for full year Cedar, it hasn't really changed. I mean, as you know, there's always a day here or day there that is weather-related like we just talked about in July, whereas utility disruption in Michigan's venture cost you some days. But still the broader 5% reduction and I think your number is pretty close, where it ultimately lands for the full-year will depend on some of those other unanticipated type events. But about a 5% reduction. I think what you're noting is and worth calling out for everyone is that some of that third-quarter operating day reduction is tied back to the fiscal quarter shift, right? And so fact of the matter is by ending Q2 2024 on June 30th versus 2025, we've pulled days into Q2 that would have been in Q3 last year. So that's going to be a bit of a headwind in the third quarter in terms of comparability just like it was a bit of a tailwind this year. And so similarly, I think when we get to Q3 numbers, we're going to have to think about, again, providing a little bit more of an apples-to-apples calendar comparison. But on a reported basis, that's going to be a bit of a headwind on third quarter numbers.
Ben Chaiken: And last one, sorry, to do three, just very quickly. There was a lot of conversation around the legacy Six Flags business. As you think about balancing per caps versus volume, do you do this on a park-by-park basis just so you can kind of tweak it and then move to the portfolio or what's the thought process? Thanks.
Richard Zimmerman: Yeah. Our approach has always been, Ben, that we look at each market individually. We go through great lengths to understand how the consumer behaves there. So, yes, all of our strategies and all of our tactics are always tailored to each respective park because each park is at a different point in their evolution. There's different opportunities available to us and we want to make sure that while one size fits all strategically is great. We want to make sure that we are optimizing each particular park over time and they're all starting at different levels of penetration.
Ben Chaiken: Thank you very much. Nice quarter.
Operator: Thanks, Ben. And our next question comes from the line of Chris Woronka from Deutsche Bank. Chris, please go ahead.
Chris Woronka: Hey, good morning, guys. Appreciate all the details so far. I had a question on kind of the season pass strategy. And this is more of a, I think, it's more of a Combined Company question than legacy Six. But is there any effort to create some kind of incremental ancillary attachment to some of the past products kind of what I'm getting at is securing a commitment for more than just admission, right? And I think at the Six Parks, you did mention you not only like to get pass holders in there more often, but get them spending differently. So is there any way to kind of incentivize that or create that attachment upfront? Is that part of the plan? Thanks.
Brian Witherow: Thanks, Chris. Good question. I think one of the things that we've always talked about over the last few years is the importance of what we call the all-season add-ons, all-season dining, all-season beverage, all-season fast lane or FLASH Pass. I think there's an opportunity to continue to bundle to create more value for our guests when they come. We've seen significant uplift in sales on both sides. On single-day tickets where we bundle with entitlements, you know, a single-day ticket plus a fast lane. But when you look at the opportunity and I'll go back to the legacy Cedar. We've increased the penetration in our all-season products virtually in a straight line since we introduced all-season dining I think back in 2015. So it's a program that has a lot of value. And the reason that's important, we talk about renewal, we've seen significantly higher renewal rates within the legacy Cedar portfolio from those season pass holders who add and purchase the all-season add-on. So they see a lot of value in it, they use it and they renew at a higher rate. So I think that's an important point. Thanks for asking that question.
Chris Woronka: Thanks, Richard. As a follow-up, shift over a little bit to CapEx. And I know some of this is still in flux and it will change. So not only if anything, but I think legacy Six, right, I mean, there was always kind of this focus on a new attraction per year and some of the CapEx maybe got skipped over on certain maintenance-related items. So as you think about the Combined Company going forward and what you've done in the legacy Cedar portfolio, I know you have seen you've done nice big sit-down restaurants and you have more of a hotel strategy. Are those some of the components you might look to bring over to 6% on the cap? Whatever the total dollar number ends up being, is the goal to take some of those same kind of projects and bring them to 6% or do you think the parks are too different, the demographics are too different, we're not going to do anything larger like that. Can you guys your CapEx has been way beyond just the parks, right? It's been the hotels and the sports arena and everything else.
Richard Zimmerman: Good question. Let me take that one. I think there's tremendous opportunity as we said. I think we're going to look at where the projects are that we can get the most benefit from. But Chris, let me be clear, when I walk through the legacy Cedar Fair Parks, I see things that I'd like to change, things I think we should get to sooner. So I think both all of our portfolio has things that if we improve, our guests will see value in it. I think what we're trying to do is make sure we bring the learnings of what has impacted the best. Listen, some of our early generation food facilities that we built, we kept modifying year-by-year. So we're now on our fourth or fifth generation of how we now construct those things. So we've got an opportunity to go in and take advantage of the latest generation of those types of things. But listen, as I said in my prepared remarks, attractive landscaping, high-quality food and beverage, those sorts of things resonate with mom and dad in particular. And I think we're going to go in and try and make sure that we're creating more perceived value. We're going to do a lot of consumer research as we've always been committed to make sure that our CapEx is targeted, as Brian said in his remarks, on things that drive an ROI that drive more transactions per hour. And on that topic and it's a CapEx question, but let me go to per capita, as we've driven our per capita, particularly in-park spending through in-park with food and beverage, things like that. We've gotten about three quarters of our per capita increase over the last several years has been transactions, not pricing. So it's important that we do and make those investments to drive that revenue because that is how we've unlocked the higher per capita over time. And I think that opportunity exists on both sides of the portfolio, maybe a little bit greater on one-side than the other. But as I look forward, I think, there's still lots of runway on the legacy Cedar side to continue to do those things as well as the opportunity to see the impact on the legacy Six Flags side.
Chris Woronka: Okay. I appreciate all the perspective, Richard. Thanks.
Richard Zimmerman: Thanks, Chris.
Brian Witherow: Thanks, Chris.
Operator: Thank you, Chris. And our last question today comes from the line of Ian Zaffino with Oppenheimer. Ian, please go ahead.
Ian Zaffino: Hi. Great. Thank you very much. I know you guys mentioned that the $10 million bump-up in the legacy Six Flags attendance. But the previous management team pointed to about $3 million of those being, I guess, non-paying. So how does that kind of factor into it? And then also, do you get into a capacity issue on the most crowded days. When you get there, again, there was kind of another comment the previous management team said about the parks maybe being just too crowded at those levels. Thanks.
Richard Zimmerman: Ian, I would say it this way, comfortably crowded is the term that we use. I think we can drive attendance to a level. And anytime we see a lot of demand, we price into it. And that's the essence of dynamic pricing. First, drive the demand, then monetize that demand, tap that demand to optimize your attendance versus pricing. I will say the best example and it exists in both portfolios and we're going to see this October. Fright Fest on the Six Flags side, Halloween Haunt, Knott's Scary Farm, Carowinds at all of our Halloween events on the legacy Cedar. We drive tremendous volume. Our biggest days of the year are on Saturdays in October, which by the way, 15 or 20 years ago, I never would have guessed and show you how the business has evolved. But I think there's an opportunity to get paying customers to come when you provide them with what they desire, when you listen to what they tell you, we get them to come out. And when you really lean into the events that drive urgency because they're only there for a limited duration. So I think we've got all the levers to use. We're not going to get it exactly right in all four seasons of the year in the calendar quarter, every year. But I think we've got all the levers to drive that demand, but our priority is attendance and revenue growth. And if we do this right, I think we're going to be very pleased with the revenue that's attached to that much higher attendance level.
Ian Zaffino: Okay. Thank you. And then just one last question. I know of the cost synergies, I think, you said about one-third of those were independent, you know, pre-merger or kind of self-help on each individual company. Can you maybe tell us where we are in that bucket as far as recognizing those synergies. Thanks.
Brian Witherow: Yeah, Ian, it's Brian. So first, let me say, as Richard noted in his prepared remarks, we are still fully committed to realizing the totality of the synergies, particularly the cost synergies as quickly as possible which we think can be accomplished over the next 12 to 18 months. As you just noted, a good portion of those were what we consider to be and characterized in the presentation as standalone operating efficiencies. There's still more work to be done over the second half of this year, and it does tie-back to my comment earlier about two-thirds of the demand and two-thirds of revenue, the associated revenue happens in the second half of the year. So as we've always said on the legacy Cedar side, the third and fourth quarters are where our opportunities to be most efficient and have the biggest impact on cost savings lies as well. But at the pace that we're going right now between the combined portfolios, we would believe that we should be in the neighborhood of $40 million to $50 million of those operational synergies having been realized by the end of '24 based on trends to the first half of the year.
Ian Zaffino: Okay. Thank you very much.
Operator: All right. Thank you, Ian. And that does conclude today's question-and-answer session. Thank you for all the questions. I will now turn the call back over to Richard Zimmerman for final remarks. Richard?
Richard Zimmerman: Thanks, Craig, and thanks to everybody for joining us on today's call, and thank you for your interest in the new Six Flags. As the summer winds down, our park teams will be transforming our midways into pumpkin patches and scare zones in preparation for our always popular Halloween events in October, which has historically have produced our biggest days of the year. As I mentioned, also look for additional announcements in the coming weeks highlighting the new rides, slides and other attractions our parks will be introducing for the 2025 season. We promise to keep you apprised of our progress on these and other Six Flags initiatives as we move forward. Michael?
Michael Russell: Thanks, Richard. Feel free to contact our Investor Relations department at 419-627-2233. Our next earnings call will be in early November when for the first time we will discuss consolidated company results for the 2024 third quarter. Craig, that concludes our call today. Thank you.
Operator: Thanks, Michael. And again, ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.